Operator: Good day, and welcome to the Five9 Third Quarter 2016 Earnings Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Tony Righetti of The Blueshirt Group. Please go ahead.
Tony Righetti: Thank you, operator. Good afternoon, everyone, and thank you for joining us on today’s conference call to discuss Five9’s third quarter 2016 results. Today’s call is being hosted by Mike Burkland, CEO; and Barry Zwarenstein, CFO. During the course of this conference call, Five9’s management team will make projections and other forward-looking statements regarding the future, financial performance of the company, Industry trends, company initiatives, and other future events. You’re cautioned that such statements are simply predictions, should not be unduly relied upon by investors, and actual events or results may differ materially, and the company undertakes no obligation to update the information in such statements. These statements are subject to substantial risks and uncertainties that could adversely affect Five9's future results and cause these forward-looking statements to be inaccurate. A more detailed discussion of certain of the risk factors that could cause these forward-looking statements to be inaccurate and that you should consider in evaluating Five9 and its prospects is included under the caption Risk Factors and elsewhere in Five9's filings with the Securities and Exchange Commission. In addition, management will make reference to non-GAAP financial measures during this call. Management believes that this non-GAAP information is useful, because it can enhance an understanding of the company’s ongoing performance and Five9 therefore uses non-GAAP financial information internally to evaluate and manage the company’s operations. This non-GAAP financial information should be considered along with and not as a replacement for financial information reported under GAAP and could be different than the non-GAAP financial information provided by other companies in our industry. The full reconciliation of the GAAP to non-GAAP financial data can be found in the company’s press release issued earlier this afternoon. It's also on the Investor Relations Web site of Five9. Now, I’d like to turn the call over to Five9’s CEO, Mike Burkland.
Mike Burkland: Thank you, Tony. Welcome everyone to our third quarter earnings call. Our third quarter results were once again outstanding. Our revenue grew 27% year-over-year resulting in record revenue of $41 million. This revenue growth was driven primarily by the continued acceleration in our enterprise business, which delivered 43% growth in LTM Enterprise Subscription revenue. This is a key metric which we started reporting in the third quarter of 2015 when it was 35%. It has accelerated each quarter since then. Furthermore, we continue to enjoy exceptional leverage in our business model, resulting in record adjusted EBITDA of $2.7 million. Since our IPO adjusted EBITDA margins have increased by more than 34 percentage points to 6.7%. This trajectory gives us a high degree of confidence in attaining our intermediate-term goal of 20% plus adjusted EBITDA margin. Our results continue to be driven by strong enterprise gains, which are delivering high marginal profitability. We believe we're still in the early days of a massive push towards modernization of customer service and contact center technologies. Given our leadership position in this market and the strong momentum in our business, we are again raising 2016 guidance. I’m also extremely pleased that we set a third quarter record for enterprise bookings and that the pipeline again reached a record new high. Our exceptional bookings were again driven by continued expansion of our direct sales force coupled with the increasing leverage we're getting from our expanding ecosystem of partners including CRM vendors, resellers, master agents, referral partners, systems integrators, bars and ISVs. This expanding ecosystem of partners influence more than half of our enterprise deal flow in Q3. Our channel program continues to grow nicely and we remain extremely pleased with this program, which is yielding significant results and is exceeding our expectations. We continue to invest in our direct sales force and our channel program given that the enterprise contact center market is very large, underpenetrated and represents a significant ongoing growth opportunity for Five9. There are 15.8 million contact center agents around the world, representing an estimated TAM of $24 billion in annual recurring revenue, three quarters of which are enterprise, and where cloud penetration is still around 10%. Not only is there an ongoing opportunity in this massive market as penetration continues to increase, there as we believe also a perceptible increase in the rate of cloud adoption. In addition, the legacy on-premise vendors continue to be stuck in transition. The following highlights demonstrate our accelerating momentum in this enterprise market. First, 43% growth in LTM enterprise subscription revenue, a continuing acceleration from 35% in the third quarter of last year. We believe that this is a key metric reflecting the payoff from our ongoing enterprise go-to-market investment. Second, enterprise revenue has grown to 68% of LTM revenue versus 63% a year-ago. Third, we estimate that our win rate against two key cloud competitors once again averaged over 70% in the third quarter. Fourth, we continue to move up market as our average deal size continues to increase. Now that I shared with you some of the key metrics for enterprise business, I'd like to remind you of some of the specific reasons why Five9 has been selected by enterprise customers for both new and expansion deals starting with our key product and platform differentiators. The first is user experience. Our award-winning agent interface built on HTML 5 is an intuitive browser-based design providing easy visualization of customer profile, context and cross channel history, providing agents with an interaction cockpit environment for delivering an excellent customer experience. Second, our omni-channel solution. Given the digital transformation, consumer power is on the rise. Mobile devices put all channels in the pocket of the consumer in an always on and connected manner with the ability to both engage and move between channels, with the swipe of a finger. Five9 omni-channel enables consumers to seamlessly engage with all modern channels on a fully integrated basis, voice, video, Web site, mobile, chat, email, let the caller callback, social and messaging. This not only enriches the experience with modern channels of engagement like Web site, video, and web RTC based click to call, but also ensures that as consumers move from channel to channel their context and history move with them. Third, our deep CRM integrations with Salesforce, Oracle, the Zendesk and Microsoft help our joint customers modernize their contact centers. The seamless combination of customer relationship data and detailed visibility and control of the interaction journey is critical for enterprises to relate to modern consumers. Fourth, our web engagement and predictive proactive analytics. Today's consumers expect both reactive resolution, as well as proactive care. Five9 web engagement enables businesses to see what visitors are doing live on their Web site, in a mobile application or in interactions with their agent, that provides customer journey analytics and lifetime journey mapping with full insight across all channels, that enables enterprises to treat online presence just as importantly as any other channel for both buying, as well as consumer care use case. Combined with our robust natural language processing, which can determine sentiment and reasons for contact along with our next best actions engine for real-time recommendations, enterprises are able to transform their customer's experience from reactive interactions to proactive engagement. Fifth, our freedom platform. Consumers are often left asking if businesses really know them. This is a result of many enterprises struggling to provide an integrated M2M customer view across siloed systems and applications. This leads to a lack of seamless context flow from system to system, primarily between CRM, UC/PBX, WFO and contact center. Five9 freedom platform provides a modern micro services based open enterprise architecture with over 300 rest APIs and powerful SDKs enabling customers, partners, and developers to deliver powerful solutions that bridge the context gap between their unique systems. The same platform has enabled Five9 and provide deep out-of-the-box integration with leading CRM, WFO, UC/PBX and ISV partners, leveraging customer data across all systems and delivering with the modern day consumer exactly what they expect and personalized experience delivered seamlessly across systems and channels. Sixth, we offer guaranteed voice quality with our agent connect service and our call-by-call carrier optimization routing, all as a managed service from Five9. Seventh, we offer industry-leading best-of-breed cloud WFO through integration with solutions from Calabrio, CallMiner and Verint. Eighth, our mobile solution delivers customer engagement, integrating voice and digital channels with self-service capabilities providing a personalized omni-channel experience. And ninth, we continue to deliver best-in-class reliability, security, compliance and scalability that meet the needs of large enterprises. Including some of the leading financial services and healthcare companies. We're extremely proud of our uptime performance which averaged 99.99% of the last 12 months. Summarize, we provide robust enterprise contact center functionality, deeply integrated with the ecosystem and game changing innovation all delivered on an open born in the cloud platform, with best-in-class reliability that is driving more and more enterprises to select Five9 for their Contact Center needs. I'm also pleased to announce that Five9 was once again named the leader, in this year's Gartner Magic Quadrant for contact center is a service North America published on October 24, in which we were once again positioned highest on ability to execute. In addition we made the largest move to the right on completeness of vision. Now I’d like to share with you some highlights from some of our key third quarter enterprise wins and expansion. The first is a global manufacturer of wearable exercise and wellness devices that markets sells and services devices directly to consumers, the retail distribution and corporations. Prior to using Five9, they were outsourcing customer support through BPO's using a via and as they grew they found himself losing visibility, control, and efficiency. They required a cloud solution for the flexibility and global reach the Five9 gives them for their customers across America, EMEA, and Asia-Pacific region. In addition to integrating the salesforce CRM and WFM, we are providing them with IVR, visual IVR, ACD with skills-based routing and management of their global carrier network. We estimate that this customer will generate approximately $2 million in annual recurring revenue to Five9. The next example, I'd like to share with you is a well-known online television media content delivery company. They use a geographically distributed workforce to take inbound calls for all services including support, troubleshooting, ordering of new services billing and collections for their subscribers. This customer required a contact center solution that would provide integrated IVR for their billing system, customers could make automatic payments without having to speak with an agent. The customer is also replacing all of their agents, Windows PCs with Google Chrome books requiring web RTC for voice, They also required a contact center solution with a rich set of APIs to integrate to their homegrown CRM. We demonstrated our ability to meet all of these specific integration and compatibility requirements, proving that Five9 was the best solution to fulfill their list of requirements. We estimate that this customer will generate approximate $700,000 in annual recurring revenue to Five9. The next example is the state government which has an initiative to standardize and modernize its contact center technologies for its agencies and departments. After reviewing the leaders in the Gartner Magic Quadrant, the state identified Five9 is the optimal solution to modernize, simplify, and give it the needed flexibility to easily add agencies and departments as they continue on this path. This customer is starting their rollout with full-service IVR for taxes and child support. ACD with skills-based routing for several departments and outbound calling for collections purposes. We anticipate this customer will generate approximate $500,000 in annual recurring revenue and is expected to grow as we add more agencies and departments. Now, I'd like to share an example of our customer base continuing to expand their use of five9. In 2012, this loan servicing company, the strategies in Five9 with one department has since expanded their use of Five9 were not only loan servicing, but also loan origination and expanded into all three contact centers in North America. They’re using our IVR to collect valuable information from the caller in order to most effectively route those calls to the optimal agent. All calls are recorded through our integration with call minor and are able to track calls, analyze them via speech analytics ensuring agents are complying with loan servicing guidelines. In addition to these wins and expansions, we had a number of recent exciting announcement and initiatives with several key partners within our vibrant ecosystem. For example, first we took the stage with Salesforce at Dreamforce to show Five9 is the only CTI partner integrated to service cloud lightening. Second, also at Dreamforce. Deloitte launched its Patient Connect solution, which is a bundled offering of Salesforce plus Five9 to the healthcare market. Third, we announced our enhanced integration with Oracle Engagement Cloud extending our close collaboration with Oracle. Forth, we expanded our WFO portfolio, which now include industry-leading solutions from Calabrio, CallMiner and Verint. Fifth, we delivered enhanced integrations with Microsoft Skype for business, Microsoft Dynamics, and Zendesk. In closing, I’m extremely pleased with our continued execution, which is demonstrated by the acceleration of our enterprise subscription revenue and continued high marginal profitability. We believe that our powerful differentiated cloud contact center software combined with our continuing execution puts Five9 in a great position in the customer service market that is still in the early days of a massive shift to the cloud. This includes a shift to the cloud for both CRM solutions like salesforce and Oracle as well as contact center solutions like Five9. Our cloud contact center software is tightly integrated with these leading CRM solutions and we are going to market together to help our joint customers modernize the contact centers. I'll now turn the call over to Bury to provide more color on the third quarter finance.
Barry Zwarenstein: Thank you, Mike. Revenue for the third quarter of 2016 was $41 million, up 27% year-over-year. This growth is all organic and reflects the continued strong growth in our enterprise business, which now makes up 68% of our LTM revenue. Our commercial business which represent the other 32% of LTM revenue continued to deliver steady and consistent growth of around 10%. Recurring revenue accounted for 96% of revenues in the third quarter of 2016. Recurring revenue is made up of monthly software subscriptions which are based on the number of agency, plus usage which is based upon minutes. We enjoy a high retention rate on these recurring revenues. Our annual dollar based retention rate, in the third quarter of 2016 was 100% -- from 95% in the third quarter of 2015. The other 4%, of our third quarter revenue was comprised of professional services fees, generated from assisting clients in implementing and optimizing the Five9 solution. The decline from the 6% in the second quarter of 2016, reflects the variability of this part of our revenue stream. I will now discuss gross margins and expenses. A reconciliation from GAAP to non-GAAP results is included in the appendix of our inventor presentation in the Investor Relations section of our Web site. GAAP gross margins in the third quarter of 2016 of 56.6% and adjusted gross margins was 61.5%. GAAP gross margins increased by 2.5 percentage points and adjusted gross margins increased by 2.1 percentage points from the third quarter of 2015. On a sequential basis, gross margins declined marginally from the second quarter to the third quarter of 2016 mainly because of expedited hiring and professional services to support the accelerating growth of our enterprise business. We expect gross margins to remain at approximately this level in the fourth quarter. Looking ahead, we continue to expect to close the remaining six percentage point GAAP, so the midpoint of our intermediate-term model of 65% to 70% non-GAAP gross margins via two main drivers. First, subscription margins continuing to increase, as we continue to scale revenue on fixed and semi-fixed costs. And second, professional services margin continuing to improve, and turning positive as investments we are making in this area payoff. Before turning to expenses, I'd like to again stress that while usage revenue generates gross margins below our subscription margin, usage gross margin have considerable bottom line leverage as this revenue comes with very minor incremental operating expenses. Turning now to expenses, which I will discuss in the order of the remaining GAAP to close, to reach the intermediate term 20% plus adjusted EBITDA model. GAAP G&A expenses in the third quarter of 2016 was $6.1 million or 15% of revenue and non-GAAP G&A expenses were $4.9 million or 12.1% of revenue. Both GAAP and non-GAAP G&A expenses declined by approximately 4 percentage points from the third quarter of 2015. The remaining GAAP is a midpoint, our intermediate term model for non-GAAP G&A is now 5.1 percentage point. GAAP R&D expenses in the third quarter of 2016 was $6 million or 14.7% of revenue and non-GAAP R&D expenses were $5.3 million or 12.9% of revenue. Both GAAP and non-GAAP R&D expenses declined by little over 2 percentage points from the third quarter of 2015. The remaining GAAP for the midpoint of our intermediate term model for non-GAAP R&D is now 2.9 percentage points. GAAP sales and marketing expenses in the third quarter of 2016 were $12.9 million r 31.5% of revenue and non-GAAP sales and marketing expenses were $12.2 million or 29.9% of revenue. As a reminder, we continue to invest in our enterprise go-to-market efforts, including sales capacity growth of 30% to 40% and investments in new channel, which together are driving our impressive growth in enterprise subscription revenue. In fact, it will be a propensity in the near-term to reach the high-end of our hiring range. as we believe industry consolidation has created opportunities for such hiring. Looking ahead, we plan to remain within our intermediate-term target or non-GAAP sales and marketing expenses, which remains at 28% to 32%. We expect our operating expenses as a percent of revenue continue to decline for the intermediate-term target as we continue to grow experienced, increased, operating leverage. We are extremely pleased with our fourth consecutive quarter of positive adjusted EBITDA. We generated positive adjusted EBITDA of $2.7 million in the third quarter of 2016 or 6.7 percent of revenue compared to an adjusted EBITDA loss of $1.1 million with 3.4% of revenue in the third quarter of 2015. As Mike mentioned, the improvement continues to be driven by strong enterprise gain, which deliver high marginal profitability. Specifically in the third quarter of 2016, LTM marginal profitability was 54% measured by the percentage of revenue growth that drops to the adjusted EBITDA line. GAAP operating loss in the third quarter of 2016 was $1.9 million, while non-GAAP operating income was $0.7 million, a second consecutive positive order on this measure. These are significant improvements from the $4.9 million GAAP operating loss and the $2.8 million non-GAAP operating loss in the third quarter of 2015. GAAP net loss for the third quarter of 2016 was $$3.9 million or $0.07 per share compared to a GAAP net loss of $6 million or $0.12 per share for the third quarter of 2015. Our non-GAAP net loss for the third quarter of 2016 was $173,000, which runs to $0.00 per share compared to a non-GAAP net loss of $3.9 million or $0.08 per share for the third quarter of 2015, Finally, before turning to guidance, some balance sheet and cash flow highlight. Our DSO performance remains strong and DSOs for the third quarter of 2016 with 27 days compared to 24 days in the third quarter of 2015. In the third quarter of 2016, which generated $1.7 million in cash flow from operations, markedly improved from the $3.2 million operating cash outflow in the third quarter of 2015. This is our third consecutive quarter of positive operating cash flow, reflecting our strong marginal profitability and the working capital efficiency driven by a relatively low DSOs. Year-to-date operating cash flow was $4 million, an improvement of $16.9 million over the same period last year. Capital spending in the third quarter of 2016 was $2.5 million, of which $2.2 million was financed by capital leases and the remaining $317,000 was paid for in-cash. Free cash flow defined as operating cash flow less capital spending paid for in cash was $1.3 million for the third quarter of 2016 compared to an outflow of $3.4 million in the third quarter of 2015. Year-to-date, free cash flow was $3 million, an improvement of $16.6 million from the same period last year. Turning now to guidance, for the fourth quarter of 2016 we expect revenue in the range of $41.3 million to $42.3 million. GAAP net loss is expected to be in the range of $3.5 million to $4.5 million or a loss of $0.07 to $0.09 per share. Non-GAAP net loss, it expected to be in the range of $0.8 million to $1.8 million or a loss of $0.02 to $0.03 per share. For 2016, we expect revenue to be in the range of $159.2 million to $160.2 million with this prior guidance of $155.8 million to $157.8 million. GAAP net loss is expected to be in the range of $15.8 million to $16.8 million, including a $1 million write-off of unamortized fees and discounts, as well as a prepayment penalty from the termination of our prior term debt facility versus prior guidance of $17.8 million to $19.8 million or a loss of $0.30 to $0.32 per share versus our prior guidance of $0.34 to $0.38 per share. Non-GAAP net loss is expected to be in the range of $4.5 million to $5.5 million which is prior guidance of $6.5 million to $8.5 million or a loss of $0.09 to $0.11 per share versus prior guidance of about the $0.16 per share. For modeling purposes, we would like to provide the following additional information. For calculating EPS, we expect our shares to be $53 million for the fourth quarter and $52.3 million for the full-year. We expect our taxes which relate mainly to current subsidiaries to be approximately $35,000 for the fourth quarter and $103,000 for the year. Our capital expenditures for the fourth quarter are expected to total approximately $2.2 million to $3.2 million. For the full-year, we expect capital expenditures to total $8.5 million to $9.5 million versus prior guidance of $9 million to $10 million. In summary, we’re very pleased with our third quarter. We will continue to be focused on driving solid revenue growth and driving towards the intermediate-term model of 20% plus adjusted EBITDA. Lastly, before turning to your questions, I'd like to remind you of our first Analyst Day, in New York on Tuesday, November 15. I would also like to remind you of our upcoming conference participation. We will be attending the second Annual ROTH Technology Corporate Access Day, in New York, on November 16; the 6tth Annual Needham SaaS Conference, in San Francisco, on November 17 and presenting at the Barclays Global Technology Media and Telecommunications Conference, in San Francisco, in December. And now, we’d like to open the call for questions. Operator, please go ahead?
Operator: Thank you. [Operator Instructions] We will go to our first question from David Hynes with Canaccord.
David Hynes: Hey, good afternoon guys. Mike, I want to ask you about the partner ecosystem, clearly the CRM guys have always been good partners of yours, but the efforts with resellers master agents that size, I guess is a newer development. Maybe just talk about where you’re seeing the best traction with those folks, maybe any way to kind of quantify how they’re contributing in the mix or the pipeline build? Just any additional color with those efforts would be helpful.
Mike Burkland: Yes, happy to DJ. As you said, the CRM partners continue to do more and more for us in the marketplace which is great. We talked about that a little bit on the prepared remarks, happy to touch on that later, but in terms of the reseller and master agent channel we continue to expand that. I'm really, really pleased with what I'm seeing there. [Indiscernible] and his team continue to sign more partners and the pipeline is growing at a very, very healthy [indiscernible]. So we’re just extremely pleased with the traction there and I'll remind everybody that you know the true reseller business portion of that is on -- kind of, in addition to what we're doing with our direct sales capacity growth, which is about 30% to 40% year-over-year for the past several quarters and we expect that to continue.
David Hynes: Yes, okay. And then, maybe one for Barry. So Barry, just [indiscernible] numbers here, we got two-thirds of the business gone 40%, you got a third of the business growing 10% I’m not a math guy, but that’s a lot faster than kind of what Q4 guidance implies 17% growth. So help us reconcile that and then I guess -- would you care to give kind of a preliminary view on 2017, just to help kind of [indiscernible] that there may be a deceleration on the horizon is the guidance implies?
Barry Zwarenstein: Yes, fair enough. So with respect first to the fourth quarter this is our seasonally strong quarter DJ as you know. And we take a conservative prudent stance with respect to that. I just remind you that last year we in each of the quarters, slowly increased our guidance for the quarter. And by the fourth quarter we were up reporting higher by two percentage points and we ended up -- misses the prior year and we ended up in projecting 22% and we ended up at 25% for the year. So it's just a reflection of about consistent prudent approach. With respect to 2017, of course we looked at the analyst consensus out there and while we’re not giving formal guidance for 2017 until we report the fourth quarter. We can't provide some high-level commentary. First, revenue. We’re comfortable with the current street projections. And with respect to the seasonality pattern, I need to remind you that typically as we’ve just been talking about the sequential growth is stronger in the second half and fourth quarter, in particular and Q2 typically tends to be relatively flat. And second with respect to the non-GAAP net income, we comfortable with where the street is in terms of the fourth quarter of next year, which showed us reaching a positive non-GAAP net income in that quarter. However, we currently believe for the first three quarters, consensus is slightly aggressive because we expect our cost and expenses to increase progressively during the year and with some front-end loading due to the FICA reset that we always have and opportunistic hiring continuing that second place while the industry consolidates. And just again as a reminder, our philosophy around guidance and future performance is to be conservative.
David Hynes: Got it. Okay. That’s great color. Thanks, guys. I will pass the line.
Operator: We will take our next question from Scott Berg with Needham & Company.
Peter Levine: Thanks for the call. This is actually Peter Levine in for Scott. I know in prior calls you’ve highlighted ARPU or guess revenue per seat. Can you provide any updates on where that number is today and how it's been trending? I guess, your expectations for the next 12 to 18 months. [Indiscernible] ask, because I’m trying to better quantify the dynamics surrounding revenue per seat longer term as you sell more modules in market in relation to how you price on the enterprise-level?
Mike Burkland: Yes, Hi, Peter. Happy to comment on that. As we said in the past, revenue per seat in total across our entire customer base has been around $200 per seat. Its slightly above that now and continues to take a slow rise, especially in our enterprise business which is becoming as you know the bulk of our business at 68% of our LTM revenue. So we’re very, very pleased. Again, it reflects competitive advantage and our ability to hold the line and not discount in the market, as well as our ability to sell more products to those enterprise customers and that trend is definitely a nice tailwind for us.
Peter Levine: Okay. And what’s the balance between growth and investments? When the time comes across that threshold where do you spend those incremental dollars? Would you let it load to the bottom line [indiscernible] margins?
Mike Burkland: Yes. So, we're fortunate in some respects, Peter, because we unlike some companies that truly have to trade-off growth for profitability or one -- or vice versa. We’ve been able to have our cake and eat it too. And part of this is we got an enterprise business, which has an extremely attractive marginal ROI. We talk about customer value to cost to acquire LTV the CAG [ph] ratios and for our enterprise business it's about a 6 to 1 over as I assumed five-year period and that is it we ran that to the true life of an enterprise customer which in theory is in perpetuity. This is a very, very high ROI business. So we're continuing to invest in sales capacity and channel expansion for our enterprise business that's driving -- what you’ve seen is an acceleration on the top line of our business. Overall from 20% to about 27% over the past several quarters in total. But our enterprise subscription revenue is also accelerated from 35% growth. Again on an LTM basis 35%, all the way to 43%. So we’ve been able to invest, to drive that accelerating growth, but it's also driving our improved profitability and you’ve seen our EBIT margins. Since IPO go up 34 percentage points from approximately negative 28% to where we are today at 6.7%.
Peter Levine: Great I appreciate it,. Thank you.
Operator: We will take our next question from Sterling Auty with J.P. Morgan.
Sterling Auty: Thanks. Hi, guys. Let's start with -- so with the acquisitions in your space, a lot of times you will see disruption in actually opportunities to step in and win incremental business as integration and uncertainty is happening. Are you seeing any of that opportunity given the two deals in your space?
Mike Burkland: Yes, Sterling. The short answer is yes. We’ve seen two of our very, very direct cloud competitors get acquired in the last couple of quarters. It is safe to say that that creates a very good situation for us. There's an uncertainty that goes with those combinations or mergers of those competitors, excuse me, and that helps us competitively against -- against those competitors. I will also add that we continue to see a nice inflow of resumes from the industry. It's not atypical when companies merge that they typically will lose people, loose some partners and potentially lose customers and we feel like we're seeing the beginnings of the benefits in all those areas.
Sterling Auty: Great. And then now that we’re at this point of evolution, the enterprise business. Can you give us even a -- just a qualitative sense of okay, with bigger mix of enterprise which probably have higher seat counts, but perhaps volume pricing and so maybe if lower revenue per seat, but yet we’ve got increased number of products that you can sell per seat. How these dynamics impacted your kind of average revenue per seat versus let's say a year-ago and how should we think about that trend moving forward?
Mike Burkland: Yes, so Sterling, first of all, let me just say that our -- you would imagine that as seat counts go up and this larger deals that volume discounts would kick in. It's actually not the case in our market. We are able to get an increasing amount of subscription revenue, if you will, per seat from enterprise customers. Again, part of its due to additional products, but even our base product is holding very, very steady in terms of pricing. So again, the mix shift is playing in our favor in that regard. And again, revenue per seat isn't that different in SMB and enterprise, so it's not a major shift that we will see from a mix shift standpoint occurring over time. But we have seen a nice gradual increase in revenue per seat across our customer base.
Sterling Auty: And then last question is, you talked about the investments specially frontloaded for next year, thank you for the insight. But maybe can you help us with the framework that you use in terms of the pace and the timing of when you’re layering on sales capacity. Are you looking for your existing sales or go-to-market force to hit a certain capacity or -- I’m sorry, productivity level like 70% on quarter and then you're adding on top of it or what is that framework that you use so we have a better sense of what we might expect moving forward?
Mike Burkland: Yes. So the insight that I can give you is the following, Sterling. We're pretty consistent on a quarter in and quarter out basis to expand that enterprise sales capacity at 30% to 40% year-over-year. Now again it does depend on when in the quarter we hire folks. We also tend to hire in batches and sometimes those batches come in at the beginning of a quarter, sometimes they come in at the end of the quarter, it's just a lot easier from a training perspective. That's one of the rationales. But quite frankly, it's not being triggered by sales productivity metrics. We've had very, very consistent sales productivity metrics over time as I've mentioned in the past and it's really just more of a timing framework than anything else and we have continually kept the pedal to the metal and growing that team at 30% to 40% year-over-year in terms of enterprise quota bearing reps and we will continue to do so, again, as long as sales productivity continues to be healthy.
Sterling Auty: Got it. Thank you.
Operator: [Operator Instructions] And we will go next to Nikolay Beliov with Bank of America.
Nikolay Beliov: Hi. Thanks for taking my questions. I wanted to ask you about the international strategy you mentioned a nice win with a global account. What does that entail from infrastructure point of view and sales presence internationally?
Mike Burkland: Yes, hi, Nikolay. So, we -- as I’ve said in the past, we have started the initial rollout of quota bearing sales teams in both Europe and Latin America. Those investments are starting to pay off extremely well in terms of our bookings this quarters in particular. In terms of infrastructure we have data centers abroad, we actually -- in Europe we have a primary end backup facility in Europe as well as what we do here in North America. And as we expand our global footprint in the future, we will be rolling out regionalized and global voice capabilities that allow us to keep calls within region and that's a really exciting technical development for us.
Nikolay Beliov: And better question for you, when you look at your new bookings, what’s roughly the split between up sale versus new business and how that is [indiscernible] over time?
Barry Zwarenstein: In terms of -- so essentially what you’re talking about is the split between our new bookings from the direct field and install base bookings. And frankly, we’re doing pretty well -- I’m looking here at the numbers, we’re doing pretty well on both accounts. In fact, install base this last quarter was exceptionally good, but in general the trend is that the growth is somewhat faster on the -- its not generally, typically always is faster on the net new -- on the direct field sales.
Nikolay Beliov: Got it. And Michael last question for me on stream force was all about artificial intelligence sales force putting AI in all their product. How is that affecting your product plans and how you synced up with Salesforce there?
Mike Burkland: Yes, you're right on Nikolay. Salesforce, Dreamforce was -- one of the major themes was Einstein, their artificial intelligence offering and it's so complementary to what we're doing. We took the stage a few times with Salesforce service cloud folks. We also, as I mentioned, Deloitte took the stage and talked about their Patient Connect which is our product plus Salesforce running together. When it comes to artificial intelligence, you may recall we have a natural language processing engine, an artificial intelligence element of what we do and we're actually very, very tightly integrated with salesforce service cloud. In fact, we believe we're the only CTI partner that is integrated to service cloud lightning which is their newest platform and we're actually leveraging our natural language processing in that integration to complement what they're doing with Einstein. So our visions are very, very aligned. Our product teams are working with the Salesforce product teams. Not to mention other key partners product teams and I'm just really thrilled that the fact is we are way out ahead of the competition in this regard and that's why we took the stage with Salesforce at Dreamforce.
Nikolay Beliov: Got it. Thank you.
Operator: We will go next to Mike Latimore with Northland Capital Markets.
Mike Latimore: Great. Thanks. Congratulations on the quarter there. In terms of the -- just can you talk a little bit about the sales cycle, obviously getting into bigger deals, how is the sales cycle playing out maybe across the business and then what kind of influence does the channel have on that as well?
Mike Burkland: Yes, Mike, happy to comment on that. So the sales cycle, it has expanded by about 30 days on average. So this is over the last couple of years, so a couple of years ago when we publicly talked about sales cycles that were 90 to 120 days and now we are talking about 120 to 150 days. We're still not in a situation where we're doing, what I call, elephant hunting from a sales perspective, while these are very large enterprise wins that we're having. They’re also fragmented decision. So we're not walking into these large Fortune 500 enterprises and trying to win an enterprise-wide decision at first. This is a land and expand strategy. We will go into a very, very large organization like U.S Bank or McKesson or others and will be business first with one business unit, with one contact center, prove ourselves and then expand within that enterprise. And I've mentioned this in the past, our land and expand has been very successful. We actually take our top 10 customers and this is self-selecting, but we've looked at a compound annual growth rate. In monthly recurring revenue for those top 10 accounts, some of them have been with us for five or six years and we look at a CAGR on that. Some of them have joined us more recently and our average across those top 10 customers in terms a CAGR in revenue growth is somewhere around 150% compound annual growth rate. And that just gives you a sense for the opportunity within these large enterprises, but it also hopefully helps people understand that the sales cycles that’s why they're only a 120 to 150 days and it gives us a nice diversified sales pipeline and deal flow every single quarter.
Mike Latimore: Great. And the channel, does that help to expand the sales cycle or no difference?
Mike Burkland: It's probably too early to tell at this point. I would say the channel is bringing us into similar sized deals, if not maybe a little bit larger deals than what we're doing with our direct team, but it's really not that different. It's not like they're going after the bigger deals and work on after medium-size deals. They’re pretty similar in size. And in some respects that channel is walking us in as the preferred vendor. So we’ve seen some sales cycles that are very, very short with the leverage and the trust with that channel partner has within these enterprises.
Mike Latimore: And just on the professional services side of things, as you get more enterprise business in that sort of builds over time, what percent of revenue do you think that given more of a maybe normalized date?
Barry Zwarenstein: Yes, so the PS revenue is on upward trend, we believe strongly. But it's going to take a period measured in many quarters or even years to reach a sort of plateau, which will be probably in the high single-digits, may be in the low double digits, but not more than that.
Mike Latimore: Great, excellent.
Operator: [Operator Instructions] We will go next to Jeff Van Rhee with Craig-Hallum.
Jeff Van Rhee: Great. Thank you. Congrats, guys. Real nice quarter. Couple questions, I mean, maybe just start with the guide, I guess not so much the guide, its much as just a commentary on 2017, specifically on the non-GAAP net income for Qs 1 to 3, you talked about cost going up and front end loading of the expenses beyond FICA and other things. How much of that -- you talked about a little more aggression on the sales hiring front, how much of the EPS variants in those Qs 1 to 3 versus -- the Street versus where you think you’re going to end up is related to that front end loading of sales or would you point strongly in some other direction? Just trying to get a sense of a little the aggression on the cost side earlier in the year?
Mike Burkland: Yes, Jeff, I will start and let Barry kind of fill in the blanks. I think these were meant to be very high level comments on '17. As you know we're not giving guidance for '17, so I want to be careful what I say. These were much more philosophical in nature and again we -- part of this is we do have a seasonal pattern to our revenue as you know, right. We tend to have lower sequential growth in Q1 and very flat sequential top line in Q2 and then we typically have nice healthy sequential growth in Q3 and Q4, but our expenses tend to grow in a straight line. We are going to also in addition to that straight line there is going to be some frontloading, which is really just us opportunistically hiring not just salespeople, but some other talent from the two competitors of ours that just got acquired.
Jeff Van Rhee: Yes, got it. Okay. That’s great. And then, just if you would on the bookings just to clarify, I think you said a new record on the bookings front, was that overall or was that for any Q3?
Mike Burkland: That was the strongest Q3, record bookings for Q3. We're just again extremely pleased with the year-over-year results that were showing in terms of bookings. And again, we continue to see the payoff from that growth in sales capacity plus the channel investments that we’ve been making. So extremely pleased with the Q3 bookings.
Jeff Van Rhee: Yes, got it. And then just two other brief ones for me. The pipeline coverage as you look at the forward 12, is pipeline coverage at record levels? And then, just last one I will let somebody else jump on. You commented on perceptible increase in cloud momentum, just maybe a few more data points what really drove that home for you that include that in the script? Thanks.
Mike Burkland: Yes, happy to -- yes, the pipeline is at all-time record as it has been for the past several quarters. But again it keeps increasing and keeps reaching new records. In terms of cloud adoption and momentum, we've got a number of vectors that are influencing cloud adoption in our space. We’ve got legacy players that continue to struggle like a via and other legacy competitors that really are paying attention to their competitive product in our space and you couple that with all the momentum from the CRM partners of ours, like Salesforce and Oracle and their service cloud offerings, as they go in and read refresh if you will, legacy CRM for service whether it's [indiscernible] clarify. The CRM component is being modernized and they're bringing us in and we're modernizing the contact center infrastructure piece by replacing legacy of via Genesis and Cisco. So you know there's a few vectors that are driving this cloud adoption and creating a nice tailwind for us and this is a multi-year cycle. We're only 10% cloud today by our estimation in the enterprise portion of this market. It is $15.8 million agent strong worldwide we feel -- we just feel like we’re in the very, very early stages of this massive shift of the cloud.
Jeff Van Rhee: Okay. Sounds good. Thanks for taking my questions.
Mike Burkland: Got it. Thanks.
Operator: And at this time, we have no further questions. I'd like to turn the conference back over to management for any additional or closing remarks.
Mike Burkland: Okay. Well, thanks everyone for joining the call today. We look forward to seeing many of you at our upcoming Analyst Day, in New York on November 15 where we will be able to give you guys a chance to hear from additional key members of our team, our management team, and get further insight into what's driving our success. So thanks again for joining us.
Operator: And ladies and gentlemen, that does conclude today’s conference. Thank you for your participation. You may now disconnect.